Operator: Good day and welcome to AstroNova's Third Quarter, Fiscal 2022, Financial Results Conference Call. Today's conference is being recorded. I would now like to turn the conference over to Scott Solomon of the Company's Investor Relations firm, Sharon Merrill Associates. Please go ahead, Sir.
Scott Solomon: Thank you, John. Good morning, everyone and thanks for joining us. hosting this morning's call are Greg Woods, ash Nova's President and CEO, and David Smith the Company's Chief Financial Officer. Greg will discuss the Company's operating results. David will take you through the financials at a high level. Greg will make concluding comments and then management will be happy to take your questions. By now, you should have received a copy of the earnings release that was issued today. If you do not have a copy, please go to the Investors page of the AstrNova website, www. AstrNova Please note that statements made during today's call that are not statements of historical fact are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1934. These forward-looking statements are based on a number of assumptions that could cause actual -- could involve risks and uncertainties. Accordingly actual results could differ materially except as required by law. Any forward-looking statements speak only as of today, December 8, 2021, the Company undertakes no obligation to update these forward-looking statements. For further information regarding the forward-looking statements and the factors that may cause differences. Please see the Risk Factors in AstroNova 's annual report on Form 10-K and other filings the Company makes with the Securities and Exchange Commission. On today's call, management will be referring to non-GAAP financial measures, including non-GAAP net income and non-GAAP net income per diluted share. AstroNova believes that the inclusion of these measures helps investors gain a meaningful understanding of the changes and the Company's core operating results. And also, can help investors who wish to make comparisons between AstrNova and other companies on both a GAAP and a non-GAAP basis. A reconciliation of these non-GAAP measures to their most directly comparable GAAP measures is available in today's earnings release. And with that, I'll turn the call over to Greg.
Greg Woods : Thank you, Scott. Good morning, everyone. And thank you for joining us. As we mentioned in this morning's press release, we continue to see global demand growth for our products and services. And overall, our teams performed well in the third quarter, despite a number of supply chain constraints that affected our results. Total revenue in the quarter increased 3% year-over-year to $28.9 million. The continued rebound of the commercial aviation market, helped us deliver sequential and year-over-year growth in our Test and Measurement segment. Revenue in the TNM segment increased 35% In the third quarter to $6.9 million, making it the best quarter since last year's first quarter. This more than offset a slight decline in the product navigation revenue, which was down 4% to $21.9 million. Our strong third quarter booking came in at a $32.3 million rate, up 16% year-over-year, and up 6% sequentially from Q2. A big challenge for us during the quarter was the difficulty obtaining certain electronic components, which prevented us from making several late quarter shipments. However, thanks to our materials teams, we have since received the majority of the delayed components and expect to ship those held up orders in the fourth quarter. This concludes revenue from the new multi-year government program I referenced on our last call, program that involves supplying advanced data acquisition equipment for an aerospace independence application. Looking at revenue by type, supplies and hardware revenue remained roughly flat with the third quarter of fiscal 2021, while service and other revenue was up 35% from the same period last year, the bulk of which was in T&A. From a geographic perspective, U.S. revenue accounted for approximately 60% of our total sales in Q3. We continue to strengthen our product and education teams, both domestically and internationally. For example, we recently hired a Head of production responsible for our growing media business in Europe, Middle East, and Africa. And new initiatives there are beginning to generate positive results already. On our Q2 call. I noted that we had begun to return to in-person meetings and tradeshows. During the third quarter, we exhibited our latest printing and labeling products at a number of in-person events. These included two major tradeshows, the Pack Expo and healthcare packaging shows in Las Vegas. And FACHPACK, European trade fair for packaging in Nuremberg, Germany. Attendees has the opportunity to demo our industry-leading technologies, including the [Indiscernible] 300, and the T2C, as well as our new T3-OPX direct to package printing system. We also engaged in great discussions with our current and perspective customers about how our product and application solutions play into global trends related to digital print for packaging and environmental sustainability. Since the end of Q3, we've also participated in some smaller regional shows in North America, Europe, and Asia. As a matter of fact, we have one going on right now in New York, City. While we are beginning being judicious about adding our tradeshows related to expenses. Early indications are that the quality of leads generated from these shows continues to be very high because the attendees are there for solid business reasons. Going forward. We plan to pursue a hybrid marketing approach that combines both select high-value in-person events, as well as continued growth in our digital marketing platforms. On the digital front, we will continue to expand our e-books, case studies, support videos, and other cost-effective digital tools that have proven successful in enhancing our sales and customer support activities. Looking ahead, we expect revenue to increase on a sequential and year-over-year basis in the fourth quarter of fiscal 2022. Now, let me turn the call over to David for the financial review.
David Smith: Thanks, Greg. And good morning, everybody. Rather than repeat the number information in the press release or Greg's remarks. I'm going to briefly highlight a few key items in the P&L Balance sheet. Our press release tables disclose, in all the required detail, the GAAP and non-GAAP reconciliations. To summarize, the non-GAAP figures exclude the benefits we received from the CARES Act, plus they include the write-off in the third quarter of our old legacy domestic MRP system. In the interest of efficiency, I'm going to comment primarily on the non-GAAP results. But please also refer to the reconciliation tables. We've provided, which has the actual GAAP results. Operating expenses in the third quarter were up about 8% from the same period in fiscal 21, last year, we were still at COVID induced cost and cost constrained uncertainty postures. Foster, and we're now responding to visible growth opportunities. The increase is concentrated in higher R&D expenses associated with new product development in our product identification segment, and we will continue targeted investments in organic growth. Year-to-date through the third quarter, non-GAAP operating expenses are running about 70 basis points higher as a percentage of sales than last year. And non-GAAP quarterly OpEx is about 4% higher year-over-year, in this current quarter in line with revenue growth and consistent with our current outlook. Looking at operating -- segment operating margins this quarter product identification posted an operating margin of $1.8 million or 8.3% of revenue, compared with $3.5 million or 15.4% in the third quarter of fiscal '21, the decrease is primarily attributable to lower revenue and mix effects. Test and measurement segment operating margins in Q3 this year was $1 million or about 16.8%, representing a positive swing of about a 1.5 million from the third quarter of last year, which saw an operating loss of almost 700,000, or 14.7%. Year-to-date through Q3, GAAP segment operating profit for product identification was $8.9 million or 13.8%, excluding the [Indiscernible] benefits that on a non-GAAP basis the segment operating margin was $7.5 million or 11%. Year-to-date for test and measurement, GAAP segment operating profit was 2.9 million or 15.1%. And on a non-GAAP basis, excluding the CARES Act benefits. The segment operating margin was $2.1 million or 10.9%. Q3 marked major operational accomplishment for the Company, with the initial go-live of our new enterprise resource planning system. The roll out of a new ARP system requires significant resources for a Company of any size. Even more so, given the economic headwinds on the business disruptions associated with the COVID environment. This implementation has been a long process and the large team that has accomplished this, has put the Company in a position to grow and prosper in the future. As noted in the press release this morning, on a GAAP basis, we reported a net loss of $425,000 or $0.06 a share, which includes about 700,000 in other expense associated with the write-down of our decades-old legacy European system. On a non-GAAP basis, excluding that expense, that income was $76 thousand or $0.01 per share. Turning to the balance sheet, cash and equivalents at the end of the quarter stood at $8.7 million, down from about $11.4 million at the end of the year. Total debt at the end of the quarter was $9.4 million, down from approximately $17 million at year-end. We're in a very strong position relative to our bank covenant structure. And we have ample capacity under the bank facility to fund future growth. Tomorrow, we'll be presenting and hosting one-on-one at the Sidoti December Virtual Micro Cap Conference. If you'd like to schedule a meeting, please email us at aolt@InvestorRelations.com. Now, let me turn the call back to Greg for a few closing comments.
Greg Woods : Thanks, David. In summary, our teams executed well in the third quarter in spite of the global supply chain challenges. And while we remain mindful about the potential for continued economic uncertainty related to COVID-19 on our end markets. With our strong bookings and a solid backlog, we feel we are well-positioned for sequential and year-over-year growth in the fourth quarter. Now, David and I'd be happy to take your questions. Operator.
Operator: Thank you. [Operator Instructions] We'll pause for a brief moment to allow everyone an opportunity to signal for questions. [Operator Instructions]. We will take our first question from Dick Ryan of Colliers. Please go ahead. Your line is now open.
Dick Ryan : Greg, how much was the revenue impact in Q3 from the supply chain issues? It looks like you're going to make up -- make that up in Q4. But what was the Q3 impact?
Greg Woods : I don't think we disclosed that, but it was a significant number. I was -- fairly large shipment, I guess, so I'm going to leave it at that. But like I mentioned earlier, we fully built -- we have the stuff in hand, so I doubt that we'll ship that out this quarter along with our normal business for the quarter.
Dick Ryan : Okay. And I may have missed, but did you guys break out -- I was looking at the -- what the recurring revenue number was for the quarter supply and then what service.
Greg Woods : Is that I know it's in our queue. Is that on the release there, David?
David Smith : It wasn't a new release stick. I'll look -- I don't have the number right the top off my head, but I will. Ask that question before calls over into it to you.
Dick Ryan: Sure. No problem. Greg, what when you look at the future growth, are you looking from the M&A standpoint as well? And can you give us a little color as to how that environment looks at the current time.
Greg Woods : Sure. As you know, it’s been part of our strategic plan from the beginning when we first put that in place, probably 7 years ago. But we -- and probably as you also know, we were kind of how does that [Indiscernible] for a little while during COVID and their related bank restrictions. But that all kind of freed up, as you mentioned, earlier this year. And we have been quite active in terms of screening potential deals. Obviously, nothing to report. But what I can report is the activity is up, and that is part of our strategy and we're hopeful that, you never know, sometime in the next several quarters, we can put something together, but that is a very active part of our strategy. And actually, both segments to invest measuring segment as well as the PI segment.
Dick Ryan : Okay. And just on the test and measurement side, was any of this new aerospace and the terms when did that contribute in Q3 or was the results pretty much on commercial transport?
Greg Woods : That was mostly it was almost all commercial. So that order that I referenced in some of the other business, typically it happens in the fourth quarter, it will happen plus this quarter that we couldn't get out the door will come out in the fourth quarter.
Dick Ryan : Okay. Great. Thank you.
Greg Woods : Sure Dave.
Operator: And it appears there are no further questions. I now would like to hand the call for closing remarks. Mr. Woods.
Greg Woods : Great. Well, thank you all for joining us here this morning. We look forward to keeping you up to date on the progress. And if you're able to, you can join us at the Sidoti Conference that David mentioned tomorrow. And otherwise, have a happy and healthy holiday. Goodbye for now.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.